Operator: Thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome everyone to the Xperi First Quarter 2024 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference to Mike Iburg, Head of Investor Relations. Mike, you may begin your conference. 
Michael Iburg: Thanks, Krista. Good afternoon, and thank you for joining us as Xperi reports its first quarter 2024 financial results. With me on today's call are Jon Kirchner, Chief Executive Officer; and Robert Andersen, Chief Financial Officer. In addition to today's earnings release, there is an earnings presentation, which you can access along with this webcast on our Investor Relations website at investor.xperi.com.
 Before we begin, I'd like to provide a few reminders. First, I would like to note that unless otherwise stated, all quarterly comparisons are to the same quarter in the prior year. Second, today's discussions contains forward-looking statements that are predictions, projections or other statements about future events, which are based on management's current expectations and beliefs and, therefore, subject to risks, uncertainties and changes in circumstances. For more information on the risks and uncertainties that could cause our actual results to differ materially from our -- from what we discussed today, please refer to the Risk Factors and MD&A section of our SEC filings, including our most recent Form 10-K and 10-Q. Please note that the company does not intend to update or alter these forward-looking statements to reflect events or circumstances arising after this call.
 Third, we refer to certain non-GAAP financial measures, which are detailed in the earnings release and accompanied by reconciliations to the most directly comparable GAAP measures, which can be found in the Investor Relations section of our website. Lastly, a replay of this conference call will be available on our website shortly at the conclusion of this call.
 I will now turn the call over to Xperi's CEO, Jon Kirchner. 
Jon Kirchner: Thank you, Mike, and thank you, everyone, for joining us on our first quarter 2024 earnings call. We continue to advance our transformation in the first quarter, delivering solid financial results across our key growth areas and continuing to make progress on several strategic initiatives. I'll let Robert walk you through the details in just a moment, but let me first touch on a few financial highlights.
 During the quarter, we saw strong progress across our key growth areas. Growth in media platform, connected car and video over broadband helped to offset expected declines in our core consumer electronics and pay TV markets, resulting in Q1 revenue of $119 million. Revenue was down 6% from the prior year without adjusting for the recent AutoSense and imaging divestiture or 3% on an adjusted basis. Non-GAAP adjusted operating expenses declined 8% in the quarter mainly due to the divestiture and our ongoing cost optimization efforts.
 Looking forward, we expect further expense reductions in 2024 as we continue to optimize the organization. Adjusted EBITDA was over $5 million for the quarter or 5% of revenue. We remain focused on 3 key growth opportunities where we see strong potential and differentiation. These are connected TV advertising, where we offer our TiVo operating system to power smart TVs and monetize ad-supported viewing. In-cabin entertainment or DTS AutoStage combines broadcast radio, Internet metadata and video to enhance the automotive experience and drive long-term monetization; and TiVo video over broadband, where we offer an industry-leading content-first streaming platform for broadband-only and IPTV linear households. Each of these markets is expected to roughly double over the next 5 to 7 years. We continue to strengthen our position in each market and believe we are increasingly well positioned to grow our revenue as these markets expand.
 As mentioned last quarter, our goal is to have 20 million monetizable end points by the end of 2025 with at least 10 million households and 10 million cars in which Xperi provides the core entertainment platform. In doing so, relative to 2023, we expect these 3 growth initiatives to generate nearly $200 million of incremental revenue in 2026.
 Let me walk you through some of our recent achievements that reflect our progress. Within Media Platform, we're pleased to share that later this month, we are hosting an industry launch event in London, showcasing the TiVo operating system along with a number of our key partners, including OEMs, retailers, content providers and advertisers. We're pleased to announce that an additional Japanese global brand is expected to launch smart TVs powered by TiVo in retail stores across Europe and the U.K. prior to the UEFA Euro 2024, which begins June 14.
 Separately, Argos, a major U.K. retailer, has TVs powered by TiVo online and in stores today under their Bush house brand. The Argos TVs are one of the first smart TVs to incorporate freely the new U.K. streaming service backed by Britain's public service broadcasters, delivering live TV over broadband. Vestel continues to expand distribution and is now shipping smart TVs powered by TiVo into most major European countries under a dozen different brands. 
 In summary, we're focused on growing our TiVo OS footprint, and our European partners are working closely with us to rapidly expand into additional countries. Our ability to move quickly into adjacent markets is facilitated by our cloud-native TiVo services platform through which we've been able to rapidly scale across many countries while meeting the specific regional requirements for live TV, localized content, language, popular subscription services and regulations. Overall, the initial launch across various countries has been very encouraging.
 Within Connected Car, we saw continued positive momentum during the quarter. DTS AutoStage is addressing consumer demands for a better entertainment experience driven by the extended amount of time people spend in their cars. Traditional broadcast radio is still the most prominent form of in-vehicle entertainment and AutoStage, with its dynamic user interface and access to secondary and tertiary radio stations, has created additional demand and interest in HD Radio. As more and more car manufacturers adopt AutoStage, HD Radio is steadily increasing its penetration within the North American market.
 In 2021, HD Radio was a standard feature in 52% of all cars produced for North America. By the end of 2023, that number had increased to 58%. We continue to work with all of the domestic automotive brands and believe we can increase our HD Radio penetration further. A good example of our recent progress is that Hyundai and Genesis will now include HD Radio as standard in cars built for the North American market. Today, AutoStage is deployed in more than 6 million vehicles worldwide, a 50% increase over the last 9 months and AutoStage Video Service powered by TiVo is now deployed in hundreds of thousands of cars across 7 countries. 
 Within Pay TV, video over broadband, our IPTV solution, continues to make steady progress, surpassing 2 million subscriber households in the quarter and continuing its trend of double-digit growth. This is helping to offset the secular decline in some of our core pay TV solutions.
 We've mentioned TiVo Broadband several times now, and I thought it might be helpful to provide a quick overview of this new offering. TiVo Broadband utilizes our content-first user interface to deliver popular streaming content from a variety of partners, including premium subscription video-on-demand, TiVo+, our free ad-supported content network and customer-specific linear channels to an operator's broadband-only customer base. This gives operators access to a low-cost video content package they can offer to their broadband-only subscribers.
 Given that much of the content is ad supported, we have the ability to monetize the viewing of that content in partnership with our operator customers who recognize that video services remain a key offering to support higher per subscriber ARPU and lower customer churn. During the quarter, we signed 3 new TiVo Broadband operators, Midco, Bluepeak and Buckeye Broadband, bringing our total number of broadband providers to 7 and representing a serviceable available footprint of more than 1 million U.S. households for potential monetization.
 Turning to Consumer Electronics. Disney+ in collaboration with IMAX and DTS announced the global streaming premiere of Queen Rock Montreal, the most successful IMAX concert film ever, featuring immersive sound from DTS. This film, along with 18 fan favorite Marvel titles, will soon be available for streaming on Disney+ in the IMAX Enhanced format with DTS:X immersive sound. There are now more than 350 movies available in IMAX Enhanced with DTS:X.
 The expanded portfolio of IMAX Enhanced titles supports the integration of our DTS decoder into our partner's AV and TV portfolios. Further to that point, we recently signed several important multiyear DTS:X license renewals with major consumer electronics manufacturers, including TCL, Hisense and Xiaomi. We continue to look for opportunities to expand the DTS footprint, and in the most recent quarter, we executed new DTS:X decoder license agreements with 2 global PC manufacturers, ASUS and MSI, to integrate our decoder onto their motherboards.
 With respect to Perceive, as we previously announced, Centerview Partners was engaged as an independent financial adviser to assist the Board with its strategic review of our Perceive business back in February. That process is progressing and is expected to be completed by the end of summer. While that process is ongoing, Perceive continues to generate revenue, has significantly reduced its cash burn and remains on track to deliver technology to a big tech partner for product commercialization. Perceive is also advancing its efforts on large language model compression.
 Last quarter, we provided a list of business metrics we intend to use to measure our performance in 2024. I'd like to provide an update on the steady progress we've made through the first quarter. Within Media Platform, we want to see TVs powered by TiVo in all 5 major European countries and in the U.S. market by year-end. Our partners are currently shipping into most of the largest European countries and continue to expand. In addition, our plans to launch in the U.S. market remain on track for later this year.
 We have a goal to exit 2024 with at least 6 TV partners and an active TVOS footprint of 2 million devices. I'm pleased to share that we've added a Japanese global brand as our sixth TVOS partner. Negotiations with additional TV partners are progressing, and our TiVo OS footprint is expected to accelerate as we move through the year. I look forward to updating you on our progress on our next call.
 Our goal within Pay TV is to deliver more than 10 additional TiVo Broadband wins and exit 2024 with 2.4 million video-over-broadband subscribers. As I mentioned earlier, we surpassed 2 million subscriber households and added 3 new TiVo Broadband partners during the first quarter, which keeps us on track to achieve these targets.
 For Connected Car, our goal is to deliver 3 additional AutoStage wins with at least 1 including video and exit 2024 with an installed base of 7 million vehicles. Today, we announced that AutoStage is now deployed in over 6 million vehicles. Conversations with automotive OEMs are progressing, and the pipeline continues to build.
 With consistent progress against these key growth initiatives, coupled with our ongoing business transformation efforts, we expect to deliver the improved profitability and cash flow outlined in our 2024 outlook, and we remain well positioned to accelerate revenue growth and operating leverage in 2025 and beyond.
 With that, I'll turn the call over to Robert to discuss our financials. Robert? 
Robert Andersen: Thanks, Jon. Before I go through the quarter's results, let me remind listeners that, as usual, all comparisons in my comments are to the same quarter in the prior year. Total revenue for the quarter was $119 million, down 6% from last year's reported revenue, approximately half of which was due to revenue from AutoSense and related imaging solutions in the prior year.
 With that in mind and in order to compare apples to apples, let me compare this quarter's revenue by market against last year's results, excluding the divestiture. Pay TV, our largest revenue category, was down 6% during the quarter, similar to Q1 of last year. This change was driven by expected declines in core Pay TV solutions, including the consumer DVR business as well as the timing of certain agreements. The decline was partially offset by growth in our video-over-broadband IPTV solutions, which continue to grow at strong double-digit rates.
 Consumer Electronics was down 21%, primarily due to a decline in the number of multiyear license renewals that occurred last year, which we noted in the guidance section of our last earnings call. Connected Car was up 23% due to significant growth from both our HD Radio and AutoStage solutions. Media Platform was up 25%, primarily due to strength in our TVOS middleware solutions.
 Our non-GAAP gross margin for the quarter was $90 million or 76%, a decrease of approximately 270 basis points from the prior year. This decline is primarily due to a different revenue mix compared to the prior year quarter. Non-GAAP adjusted operating expense for the quarter was $91 million, down 8% from the prior year, largely due to the recent divestiture and also from cost optimization as a result of our ongoing business transformation efforts.
 Non-GAAP tax in the quarter was $2 million. This was somewhat lower than our expectation due to the timing of certain elements within the tax estimate. Nonetheless, we still expect non-GAAP taxes for the year to be in the range of $20 million.
 Our adjusted EBITDA was $5 million, resulting in an adjusted EBITDA margin of 5%. After accounting for tax and interest expense, our non-GAAP loss per share was $0.05.
 Moving to the balance sheet. The company ended the quarter with $95 million of cash and cash equivalents. Operating cash flow in the quarter, which was a $50 million use of cash, was in line with our expectations due to the seasonal timing of cash-based events. The 2 primary drivers of cash usage were payment of variable compensation and changes in working capital. Compared to the first quarter of last year, which was a $43 million use of cash, we had a 20% reduction in the amount of variable compensation paid along with reduced spending within the core business. This was more than offset by the amount and timing of billings and related collections, higher cash tax, increased severance and divestiture-related costs. 
 As we highlighted on our last call, our cash flow is typically a use of cash in Q1 followed by cash generation in the subsequent quarters as we continue to expect operating cash flow to be in the range of $20 million to $30 million for 2024. We started the year with over $150 million in cash and equivalents on the balance sheet. We also have the expectation of positive cash flow for both this year and going forward as the business grows. With these in mind, along with possible cash inflow from the divestiture of noncore assets, our Board of Directors recently provided authorization for share repurchases of up to $100 million.
 From a capitalization perspective, we plan to maintain a cash balance of approximately $100 million for operating purposes prior to any utilization of the repurchase plan. As we begin to return capital to shareholders, we expect to take a balanced approach that considers the capital needs for business growth and debt paydown.
 Moving now to our outlook for 2024. We are reaffirming the guidance ranges provided on the last call and remind listeners of our prior commentary. We expect full year revenue to be in the range of $500 million to $530 million. At the midpoint, this represents approximately 4% growth over a normalized 2023. Because we expect to begin monetizing our TVOS footprint in the second half of 2024, along with the expected timing of certain agreements, Q2 of this year is expected to be relatively flat to slightly down from 2023 with modest growth in Q3 and accelerating growth in Q4. 
 We expect non-GAAP adjusted EBITDA margin to be in the range of 12% to 14%. Importantly, we expect revenue growth and the impact of lower costs through business transformation efforts to drive meaningfully higher EBITDA in the second half of the year. Our outlook for gross margin, OpEx, cash flow, taxes, share count and CapEx remain the same. 
 Lastly, as you may know, a shareholder of the company has nominated directors to serve on our Board. Given that we are here to discuss the quarter and our outlook for the business, we will not be taking questions on this call regarding the nominations or the annual meeting.
 That concludes our prepared remarks. Let's now open the call for questions. Operator? 
Operator: [Operator Instructions] Your first question comes from Hamed Khorsand with BWS Financial. 
Hamed Khorsand: So the first question I had was, given the timing of landing your sixth TV brand, how does that look as far as active TVs? Would that count actually go up as your goal is concerned? And where do you sit as far as getting a seventh one maybe this year? 
Jon Kirchner: Hamed, I would say that we have an active pipeline that we continue to work with potential partners to join our ecosystem. So I would expect that, over time, there will be others. Timing, always a bit of an uncertain matter. But I think with the 6 that we have as well as what we're seeing in the market as people begin to expand distribution, I think we're comfortable that we're going to hit our 2 million target for the year. And certainly, the sixth brand, which will be coming to market relatively quickly will contribute to that. 
Hamed Khorsand: Okay. And then could you just comment on the Pay TV? That revenue is declining at least faster than I was expecting. So why the degradation there as much as you've seen and you're not making up on the IPTV side? 
Robert Andersen: Yes, Hamed, within Pay TV, if you recall, last year was also down 6% in Q1 and then ended the year down less than 2%. So I'd say from where we're sitting today, Pay TV appears to be on track. Over the course of the year, we expect the video over broadband will largely help to offset the declines within the core Pay TV business. 
Operator: Your next question comes from the line of Matthew Galinko with Maxim Group. 
Matthew Galinko: I think you touched on expecting a U.S. launch this year for TV or for a brand in the U.S. Can you maybe -- I know you mentioned timing of billing is challenging, but I assume there's a goal to get in before Q4. But can you kind of touch on how important it would be to get in kind of earlier in the year or kind of how seasonality would affect the kind of the ramp-up in households covered obviously contingent on timing within the year? 
Jon Kirchner: Well, obviously, it's our objective to work with the partners to have TVs in retail for the strong kind of holiday buying season. And as we get closer, we may have more to say about that exactly. I think one thing to understand is that even if those sets are in retail, the monetization begins to occur after they're sold and ultimately installed. So some of the monetization-related revenue we expect in the course of this year will be primarily coming from European installations that are happening earlier in the cycle, and then we expect to get the benefit of that cumulative and growing installed base as we go through all of '24 as we move into 2025 and monetization begins to further ramp. 
Matthew Galinko: Got it. And then my follow-up question is about HD Radio. I think you mentioned that AutoStage is pulling HD Radio kind of towards that higher penetration rate for North American auto. Can you maybe expand a little bit more on how strong of a pull is that from kind of the new technology deployment? Is it possible to drive into the mid-60% range? Or kind of what are we looking at over the next couple of years? 
Jon Kirchner: Well, I think we've said a number of years ago that we thought roughly mid-60s was a reasonable long-term target for HD Radio penetration. And I think what our partners are seeing is that our in-cabin entertainment platform, which combines HD Radio and AutoStage and now extends into video service, really does represent a best-in-class experience that most of our customers would love to extend to their customers and gives a chance to further differentiate the vehicle as people increasingly are making decisions about vehicle purchases once you get past brand and perhaps size. You're getting into what does the infotainment platform look like and feel like. And I think that differentiation has had a kind of a combined effect on some of the business we're doing with underlying HD Radio.
 But also keep in mind, AutoStage is not just a U.S. phenomenon, right? One of the great things about the platform is that it can run on top of any underlying radio system, including FM or DAB. So it's being deployed around the world today, and I think that gives us further long-term expansion and monetization opportunity as that footprint builds globally. 
Operator: [Operator Instructions] That concludes our question-and-answer session. I will now turn it back to the Xperi team for closing remarks. 
Jon Kirchner: Thanks, operator, and thanks, everyone, for joining today's call. We are excited about our continued strategic momentum, and I'd like to thank our employees, customers and partners for helping us continue to achieve our objectives. We look forward to reviewing our Q2 results with you in August. Operator, this concludes today's call. 
Operator: This concludes today's conference call. Thank you for your participation, and you may now disconnect.